Operator: Good morning, ladies and gentlemen. Welcome to the Masco Corporation 2011 First Quarter Earnings Conference Call. As a reminder, today's conference will be recorded and simultaneously webcast. If you have not received the press release and supplemental information, they are available on Masco's website, along with today's slide presentation under Investor Relations section at www.masco.com. Before we begin management’s presentation, the company wants to direct your attention to the current slide and the note at the end of the earnings release, which are cautionary reminders about statements that reflect the company’s views about its future performance and about non-GAAP financial measures. After a brief discussion by management, the call will be opened for analyst questions. If we are unable to get to your question during this call, please call Masco Corporation Investor Relations office at (313) 792-5500. I would now like to turn the conference over to Mr. Timothy Wadhams, President and Chief Executive Officer of Masco. Mr. Wadhams, please go ahead, sir.
Timothy Wadhams: Thank you, David, and thank you for joining us today for Masco's first quarter 2011 earnings call. I'm joined today by Donnie Demarie, our Executive Vice President and Chief Operating Officer; and John Sznewajs, our CFO. And if you would please flip to Slide #3. Sales in the quarter were down 4%. Excluding rationalization charges, gains from financial investments and normalizing our tax rate at 36%, our loss for the quarter would have been $0.05 a share, and that compares to $0.03 of income on the same basis in the first quarter of 2010. On an as reported basis, we lost $0.13 in the quarter compared to a $0.02 loss in the first quarter of 2010. We did a nice job of managing working capital. I'll talk a little bit more about that later on, and we ended the quarter with $1.5 billion of cash. If you flip to Slide #4. [Audio Gap] both gross profit and operating income reconciled for rationalization charges, our gross margin would have been down 140 basis points to 25.3%. And on that same basis again, reconciling for rationalization charges, our operating profit would have decreased from 5% last year to 3% this year. I mentioned that sales were down 4%. That equates to about $80 million of sales decline. Of that decline, about $53 million relates to cabinet products that we previously announced that we were exiting. So if you exclude that, we would have been down a little less than 1.5%, rounding down to 1%. As we mentioned in the press release, if we exclude the exited cabinet products, both February and March would have been relatively flat in terms of sales with last year, again across the entire company. Our International sales performed well. We were up 5% in terms of local currencies, had pretty good margins on those sales, just a little bit less than 10%; last year, a little over 10%. And our sales to our key Retail customers were down high-single digit. A big portion of that, well, almost all of that, relates to Cabinets, and a big portion of that relates to the products that we announced that we were exiting. Without the product exit, we would have been down just slightly low-single digits in terms of sales to key retailers. On an $80 million [Audio Gap] would have anticipated based on contribution margin about a $25 million drop in profitability. We're down again on an adjusted basis, about $39 million year-over-year, and the additional $15 million or so is represented by about $10 million of price/commodity relationship that is unfavorable in this quarter versus last year's first quarter, and we also had some new product and program launch-related costs in the quarter, as well as a negative product mix. So that pretty much explains the decremental margin, which approximated 50% in the quarter. If you flip to Slide #5. Again, taking a quick look at our earnings per share, as we mentioned reconciling for rationalization charges and also taking out the positive impact of the gains on the financial investments, we would have lost about $0.05 in the quarter compared to the $0.03 of income last year. If you flip to Slide #6. In terms of our Cabinet business, we were down about 24% in the quarter compared to last year. If we exclude the Cabinet-related products that we're exiting, we would have been off about 13%. We had a decremental margin of 26%, which pretty much approximates our contribution margin. We did have slightly less favorable price/commodity relationship in the quarter. As we've mentioned in the past or last quarter, we've got some particleboard challenges in Europe. We also had under absorption of fixed cost, but also had some cost reductions that offset a good portion of that. If you flip to Slide #7. We continue to be on track with the cabinet integration. We believe in the fourth quarter -- or excuse me, in the first quarter, that on a sequential basis compared to the fourth quarter, that we were able to increase our share position. So again, if we compare the first quarter of '11 versus the first quarter of 2010, probably down still a little bit in terms of share. But on a sequential basis, coming from the fourth quarter into the first quarter, we had some nice gains in the home center channel, driven largely by promotions. We continue to do well in the builder channel and in the dealer channel, we feel like we more than held our own in the first quarter. We continue to add dealers under our Dealer Advantage Program. We now have almost 350 dealers that have added a Masco brand, another Masco brand, if you will, and about 125 of those dealers are new. We've also done some very good work from a process improvement standpoint, reducing our boarding time, on-boarding time for new dealers from weeks to days. So we feel very good about that, and we continue to get some good traction, particularly with builders with our countertop precision model. We continue to believe that breakeven for this segment is about $1.6 billion in terms of revenue, and we've talked about that in the past, and we've also talked about the fixed cost reduction of approximately $180 million. If you flip to Slide #8, Plumbing Products. Had another solid quarter. We were up 7% in the quarter. Margins were flat, relatively flat with last year, just slightly down. Generally speaking, we would have anticipated a little higher incremental margin on these sales. Our contribution margin approximate 30%. But we did [Audio Gap] favorable price/commodity relationships in this particular segment. I mentioned about $10 million roughly overall. About $4 million of that would have related to Plumbing and less favorable product mix in terms of the profitability in this segment. If you flip to Slide #9. Again, another solid quarter for our Plumbing business. It continues to be driven by the work we're doing around our brands, innovation, design, global expansion. We believe we had a good quarter from a share perspective in terms of North America both at Wholesale and Retail, and I would point out that our 2 flagship brands, Hansgrohe and Delta, had very strong quarters, with sales up mid-to-low teens in terms of those 2 businesses. We continue to emphasize innovation. Our Touch2O Technology is being applied to lav faucets for the bathroom, and those were launched in April, and we anticipate some very favorable response to that product launch. We also had some nice recognition in the quarter. Delta has been nominated as a finalist for an Effie Award, which is one of the most prestigious awards relative to advertising. And we talked a little bit about the improvements we've made there in terms of unaided brand awareness. They've done a very good job of positioning and promoting the brand. And Hansgrohe, again, received a Product Design Award from the Federal Republic of Germany. So again, those are important recognitions, and we're very proud of both of those businesses. If you flip to Slide #10, Installation and Other Services. We were off in this segment 7% in terms of sales. We did a modest improvement in terms of profitability in the quarter compared to last year's quarter, notwithstanding the fact that we were down $19 million in sales. We continue to benefit from a very good job of cost management in this segment, had a little bit of help from mix as well, just in terms of comparison to the first quarter of last year. If you flip to Slide #11. We continue to improve our position from an Insulation Installation standpoint. We mentioned before that we thought that we may have cut a little bit too deep. We've added some salespeople. We talked about the expanded strategic relationship with Owens Corning last quarter. The result of that is we're seeing a lot of positive bidding activity. We think we've got a very good chance in terms of improvement from a share perspective going forward. This continues to be a competitive environment. Our feeling is a lot of our competitors are struggling at this point. So we think we've got some really good opportunities from a share perspective, and believe that from the fourth quarter, again looking sequentially, that we were able to gain share in the first quarter of 2011, still probably a little bit below where we were in the first quarter of 2010, but making some good progress. We think with the ERP system, the leadership changes that we've talked about, some of the other organizational changes that we're heading in the right direction relative to the Installation segment and anticipate improving performance going forward. From a breakeven standpoint, we estimate breakeven at 700,000 to 750,000 starts as we've mentioned in the past, probably a little closer to the 750,000. If you flip to Slide #12, please, Decorative Architectural Products. Sales in this segment were off 4%, and essentially all of that decline is explained by programs that we launched at Wal-Mart both in Paint, which we announced last year, as well as builders' hardware. Our Paint without that Wal-Mart sales loss would have been up slightly in the quarter. Decremental margin continues to be in excess of our contribution margin, and we're down about $17 million in terms of profit versus last year on a $14 million sales decline, obviously, with still very strong margins in this segment. And I would suggest that, that $17 million -- think about that maybe in 3 buckets. About 1/3 of that would relate to volume decline. A little less than 1/3 relates to unfavorable price/commodity relationships, and the remainder would be program cost related to new opportunities that we're pursuing. Having said that, we continue to face raw material supply challenges relative to Paint. We think we're managing through that very well at this point in time, but it is a situation where supply of both resins and TiO2 continues to be tight. If you flip to Slide #13. As I mentioned, we've expended some money and continue to pursue top line opportunities in both Paint and hardware. We've talked about the Direct to Pro program and as part of that, we launched Kilz Pro-X earlier this year, and we should have all the Home Depot stores set by the end of the second quarter. I think we're a little over halfway there, so we're excited about the opportunities there. We also had some very good recognition in terms of both the Behr and the Kilz brand. Behr, as we mentioned previously, achieved #1 rankings in a recent independent consumer study. Kilz also fared very well in that study, I might add. And in a recent Harris poll, Kilz was ranked highest among Paint brands for the second year in a row. Behr did very well in that particular poll as well. And both of those brands do very well in terms of performance, quality assessments and that type of thing. We also believe that in the quarter, based on track line, that Behr continued to increase share across all do-it-yourself codings-related categories. If you flip to Slide #14, Other Specialty Products. Sales, 2%, just up a little bit, continue to benefit from share gains, as well as new product introductions, geographic expansion. We did have a increase in the loss in this segment, notwithstanding the fact that sales were up slightly. That reflects some unfavorable price/commodity relationship, a minor amount there, relatively insignificant, new product launch and geographic expansion costs and some unfavorable mix. We continue to do well in terms of share for both Milgard in the Western United States. They continue to do very well. The U.K. Window Group in the United Kingdom continues to gain share. And as I mentioned, we've done some things with the Milgard brand in terms of expanding into both Western Canada, as well as Texas. If you flip to Slide 15. I mentioned earlier that we had some nice improvements in terms of working capital. And as you can see, when we take inventories plus receivables, less payables, we were able to -- and compare that to last 12 months’ sales, we were down about 80 basis points. So continue to see some very good performance across all of our businesses, really appreciate the effort from our folks across the company, not only in managing working capital, but in continuing to address some of the challenges in the marketplace and certainly, the continued implementation of the Masco Business System. So a lot of positives relative to balance sheet management and as I mentioned earlier, we ended the quarter with $1.5 billion of cash. I want to make a couple of comments before we go to the Q&A to wrap up. Obviously, economic signals at this point in time are relatively mixed, and most economists have reduced their expectations for 2011. And we currently see a less robust year than we might have anticipated just a couple of months ago, and currently anticipate that starts will probably be up somewhere around 10% for the full year. I would remind folks that we tend to operate on a lag basis, and with most of – about a 90-day lag basis I would point out. And with most of those starts probably generated in the second half, we won't see a lot of positive impact necessarily this year. The blue chip consensus, I think, is for 630,000 starts. That came down here recently, and a 10% improvement pretty much equates to a number in that ballpark. Having said that, as we have been, we'll continue to focus on those things that we have control over. We'll continue to drive the Masco Business System across the enterprise, continue to focus on innovation. We've done a very good job there, and continue to manage our cost structure to fit the circumstance that we're in. While it's way, way too early to talk to any specifics, I'm excited about some of the opportunities that are developing across our businesses in a variety of product lines. We'll have more to say about that later this year. But we are looking at some very good opportunities again in a variety of products, that when the time comes, we'll share some more specifics about that. We continue to make some progress on the Installation and Cabinets side. Last time, we were together mid-April -- or excuse me, mid-February, we talked about our anticipation that we could improve the operating performance there fairly significantly this year and reduce losses from last year, adjusted losses by $60 million to $80 million. Our sense is, right now, that we still anticipate some significant improvement in both of these segments. But given the decline on housing starts, we anticipate those numbers are probably going to be somewhere in the $40 million to $60 million range. But again, still some very good improvement. We also believe that on a full-year basis, that we will be successful in terms of offsetting commodity cost and other inflation. Again, that's on a full-year basis. We had a little bit of a negative impact in the first quarter, as I mentioned, roughly $10 million. But based on work that we've already done and other items, we've got a couple of things yet to do, but feel very confident about our ability to be successful there, but our feeling is that we should be in very good shape. We talked about headwinds on our last conference call of $30 million to $40 million, but our feeling right now is that we have those covered. Obviously, commodities tend to be a fluid situation. There could be some additional increases, going forward, that we'll have to deal with, and we will. But we have been very successful working with suppliers, working on productivity, cost reductions and implementing price increases. So we feel very good about where we are at this point in time. And I would say for modeling purposes, if you were to use our overall contribution margin of 30% on whatever you think revenue changes might be, that's probably a pretty good proxy. From a long-term standpoint, continue to feel very comfortable, very confident about the fundamentals for our markets. Obviously, things are a little slower than we would have hoped or liked this year, but we still feel that over the long term, those fundamentals are positive for both repair/remodel, new home construction, and feel very confident that when we get back to top line sales in that $10 million to $12 million range, that we'll be able to generate double digit return on sales and also drive value and returns that are consistent with our shareholders' desire. And with that, we'll open up the lines for Q&A.
Operator: [Operator Instructions] And we'll take our first question from Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc.: A couple of quick questions. First off, your Installation revenues now seem to be running closer to what -- if you lag starts on a 3-month basis, it's getting closer to that, which suggests that the demand situation for you guys is improving, or at least -- I'm trying to get a sense of how much of it -- you call it sequential market share improvements, but how much of that is market share versus maybe improved pricing or better take per home? It seems much more of a tighter relationship with starts than it had been in 2010.
Timothy Wadhams: Yes, no, I think that's true, Sam. Basically, if you look at -- our sales were down in the segment 7%. I think lag starts are down about 3%, and so we have closed that gap. I would tell you that revenue per job, which we talked about last year, compared first quarter of last year to first quarter of this year, is also down about 3%. And that for the most part, reflects less diversified products. As we've mentioned in the past, builders continue to de-content, less fireplaces, things of that nature. So we are down a little bit, but I think your observation is correct. We have narrowed that gap, and do feel that going into the first quarter, that we were, again, on a sequential basis we're probably still down a little bit from last year's first quarter but again, closing the gap, and did make some progress fourth quarter to first quarter.
Sam Darkatsh - Raymond James & Associates, Inc.: Second question. You haven't talked about this in a little while or at least quantified it, but what do you peg your EPS sensitivity on an annual basis to housing starts? Every 100,000 starts is now about $0.10 or so, or what do you peg the sensitivity?
Timothy Wadhams: Well, 100,000 starts, I think, would generate, Sam, about $300 million of top line roughly. And that would convert at probably, roughly, that's probably a reasonable proxy that's about $100 million. So that would probably be about what, $0.15, $0.16, John?
John Sznewajs: Yes, that's about right.
Timothy Wadhams: Yes, so it’d probably be about $0.15, $0.16, Sam.
Sam Darkatsh - Raymond James & Associates, Inc.: Last question and I will defer to others. You mentioned capturing or covering the $30 million to $40 million. Can you help me understand what covering means? Does that mean that the $30 million to $40 million will not occur, or is that what you -- or you're still paying the $30 million to $40 million in inflation?
Timothy Wadhams: No. What we mean by that, Sam, is that when we talked about the $30 million to $40 million in terms of headwind, that was a situation where although we anticipated being able to cover it, hadn’t necessarily initiated actions or got our ducks in a row, if you will, to approach that. At this point in time, even though there's a bit of work left to do, i.e. finalizing some discussions, that type of thing, we feel very good that we've been able to -- that I have a high confidence level that we'll be able to work our way through that $30 million to $40 million. And again, that's just a small portion of the impact for the full year. When you look at total inflation and total commodity cost increases, those are significant numbers, obviously. But the $30 million to $40 million was what we had left that still needed to be thoughtfully addressed, I guess, would be the best way to put it.
Sam Darkatsh - Raymond James & Associates, Inc.: Thanks, Tim. Appreciate it.
Timothy Wadhams: Okay, thank you, Sam.
Operator: Our next question comes from Peter Lisnic with Robert W. Baird.
Joshua Chan: This is Josh Chan, filling in for Pete. I was wondering what your, I guess, strategic implication would be for your Installation segment, given your reduced outlook in new construction? I mean, it seems like you're focused on gaining share, but the outlook has worsened a little bit.
Timothy Wadhams: Yes, well, I think that's true, Josh. The outlook is a little bit less robust than we would have anticipated. Having said that, we're of the opinion that some of our competitors are having a more difficult time at this point in time than, well, than certainly we are. And that's providing, we think, some opportunity for us. And as we indicated earlier, we've done some things from an organizational structure standpoint. We've done some things from an incentive standpoint. We've got the ERP system implementation that will be finalized here in the next couple of months. So we feel pretty good about where we are from just a managerial standpoint, if you will, and we've seen a significant increase in bidding activity. We've been able to be successful there. We also are developing some opportunities with some of the larger builders at this point in time, too early to talk about. But we think we've got some very good opportunities to do some things, given our scale and the depth of our branch locations. So we feel pretty good about the opportunity. Obviously, the environment is tougher. But having said that, I think our guys have demonstrated that they can do a pretty good job of cost management, and we'll continue to get after that. We have seen some improved -- on our retrofit sales as well, and we do a little bit of commercial work. That's been a challenge here over the last few quarters, but we're seeing a little bit more, just in terms of bidding activity there as well. So notwithstanding the fact the market's tough, I think we're cautiously optimistic that some of the changes that we've made, some of the additional sales people, should put us in a positive position to take advantage of the opportunity that's out there.
Joshua Chan: Okay. Great. Thanks for the color on that, and then switching to, I guess, the price-cost relationship in Paint. I mean, I believe some of your peers are actually saying that the year-over-year headwind will actually be worse before it gets better. I mean, do you have a more optimistic outlook on the cost side than that, or can you talk about...
Timothy Wadhams: No, we do not, Josh. We don't have a more optimistic outlook. We continue to manage through tight supply relationships relative to resins and also TiO2. We believe that in talking with our major customers, that we should be in good shape relative to the product that we'll need, the raw material that we'll need for our operations, don't anticipate any constraints there. But costs could continue to rise going forward. There's no question about that. So we'll have to address that at such time as we see those kinds of developments. But we do feel that we're in pretty good shape from the ability to fulfill our needs.
Joshua Chan: Okay, and then just, I guess, more clarity with you talking about flat, not having a price-cost headwind for the year, does that mean Paint would also be flat or will there be...
Timothy Wadhams: We're taking a look at that, Josh, on an overall company standpoint. Last year, from a company perspective, I think we had negative price-commodity in the approximately $60 million range. And as we mentioned, a lot of that was in Plumbing and Paint, related to metals and inputs for Paint. In the first quarter, that number was $10 million. That's down from, I think, $20 million in the fourth quarter, and about $4 million of that probably hits Paint, about $4 million of that hits Plumbing roughly. So yes, what we're really talking about is being able to offset what we know at this point in time. Now again, it's a fluid situation, things could change. Energy costs have obviously gone up pretty dramatically, but based on what we know right now, we think we're in pretty good shape.
Joshua Chan: Okay. Great. Thank you for your time.
Timothy Wadhams: Thank you.
Operator: Our next question comes from Nishu Sood with Deutsche Bank.
Nishu Sood - Deutsche Bank AG: Thanks. First question I wanted to ask was in the Plumbing division. The Hansgrohe segment has been a pretty strong sales driver, probably for the last year or 2, and this quarter, it sounds like Delta also contributed. So I wanted to get some color on that and as well, you talked about the global expansion model, and that obviously, with Hansgrohe, and the design success of the high end and exporting that to different parts of the country -- I'm sorry, different parts of the world. That makes sense. You mentioned that you were going to be transitioning that to Delta as well. So I was wondering if I could get some color on that too.
Donald Demarie: Sure, yes, Nishu. This is Donnie. Be happy to take that. Yes, we get really strong performance in the quarter from both Hansgrohe and Delta, and Delta continues to do very well in both the Retail and the Showroom segments of the business. They have great new innovative products. They've done a lot related to the brand. Our Touch Technology is really resonating with the consumer. We've done a lot of hard work on our supply chain to reposition some of our lower SKUs more competitively, and that's really paid off both in top line and bottom line. So we feel really good about the work we've done at Delta. Hansgrohe is doing well and has been doing well for a long time. They really are focused at the high-end of the market in design and style and really, the solid German engineering, the product, and it's really resonated well in the emerging markets. Hansgrohe has been expanding internationally now for about the last 15 years and really have a very unique system for prioritizing markets, market entry and really going at it from an organic basis to get into markets, penetrate the existing channels and understand the consumer, have the right product assortment. And we really have focused heavily on international development for our North American businesses for about the last 2 years. Delta and Hansgrohe have been working very closely together at identifying target markets. We think based on consumer segmentation, those 2 brands play very well, with Hansgrohe really on the design high-end side, Delta in that mid-market technology play. And they've been doing some neat things. So a lot of the gain we're seeing here in the quarter is related to the Hansgrohe global expansion; Delta, more about what's going on in North America. But we have really laid the seeds for a strong Delta-Hansgrohe partnership outside of North America. So we feel really good about that.
Timothy Wadhams: Yes, the other thing I would say too, Nishu, is that we [Audio Gap] specific about the Delta and Hansgrohe brands in the first quarter. But I think it would be erroneous to not assume that Delta hasn't done very well over the course of the last couple of years in terms of top line growth. We've talked a lot about the innovation that they’ve brought out. They've done a really nice job of repositioning the brand. As we've mentioned in the past, I think if you go back, unaided brand awareness was up 9 points in a 2-year period of time, which is basically unheard of. So we've gotten good contributions from both of the flagship brands, if you will, and along with some of the other brands in that segment over the course of the last couple of years.
Nishu Sood - Deutsche Bank AG: Okay, and I think that's very helpful. And in the other Specialty Products division, Milgard, the expansion into Western Canada, and I think you mentioned some other parts of -- in Texas as well. Now Milgard, I believe, has had some attempts at expansion before to other parts of the country. So transitioning window products from region to region is always tough because of building codes and builder preferences and brand awareness, and stuff like that. So how did those experiences in the past translate to what you're trying now? And maybe just some thoughts on that.
Timothy Wadhams: Yes, I think what you're referring to, we did attempt to expand into Virginia several years ago. That didn't work out real well for us. We do have an operation in Chicago that is continuing to get traction from a top line perspective. I think the thing that's a little bit different about Western Canada and Texas is the climate and the types of products. Milgard has very strong presence in Washington, Oregon, California, Nevada, Arizona, and so the types of products that we sell into those different markets are a little more compatible, I think. And again, this is my take, a little more compatible with what the requirements are in Western Canada, as well as what we think the opportunity is in Texas. I don't know, Donnie, if you've got any color on any of that.
Donald Demarie: That's right. And Tim, when you think of -- what the product that we have in the Pacific Northwest and coming out of Tacoma, Western Canada, this is a national extension for us. It's a nice shifting radius from our manufacturing facilities, and the product in Western Canada is very similar to the product that we sell into the Pacific Northwest. Into the Texas market, Texas tends to – has historically been more of a low-end aluminum market. That has transitioned into a vinyl market, very similar to the products that we sell into Arizona and Nevada, New Mexico. So we feel really good about our expansion into Texas. We have some customer service locations there, as well as some sales reps, and we have some dealers set up, and we're currently shipping product out of Arizona, and feel really good about that. We also have been able to work with Milgard and Behr to come up with some colors on our vinyl windows, to where we had some dark color extrusion that doesn't absorb any heat, which stops the actual extrusion from creating any -- from bowing or really any size variation related to some of the heat that we get related to the sun in those climates. So we think we have a differentiated product that we can bring into Texas, with the Milgard value proposition, and Pacific Northwest going into Canada, is just a natural extension for us.
Nishu Sood - Deutsche Bank AG: Got it. And final, just quickly on your restructuring charges are already, I think, a little more than half of what you'd forecast for the year. Does that mean they'll be mainly front-loaded, or will they be higher than originally expected?
John Sznewajs: No, this is John. No, we said [Audio Gap] I’d say about $32 million in the first quarter. Most of that's related to the wind down of our facility in Waverley, Ohio, our ready-to-assemble Cabinet business. We've always expected to wind down here in the second quarter. So we knew they were going to be front-end loaded, partially communicated that upfront when we first gave the number in the middle of February, as we kind of knew how these were going to roll out, but nothing new or nothing expanded at this point.
Nishu Sood - Deutsche Bank AG: Great. Thank you.
Operator: We'll take our next question from Chris Wiggins with Oppenheimer.
Christopher Wiggins - Oppenheimer & Co. Inc.: Can I just revisit one of the earlier questions on the Installation strategy? And I'm just curious, do you have -- in your internal discussions, is there ever kind of a breaking point that's discussed where you say maybe it makes you change your strategic thought, and I appreciate the long-term view. But I'm just wondering if there's something internally ever discussed to say maybe it's time to start thinking of a different direction.
Timothy Wadhams: Well, I think that, that starts to get into, Chris, a portfolio management kind of question in terms of that business, and as we have communicated before, when you start thinking about the alternatives that exist, one is walking away from the business. We don't think that makes any sense. One might be to try to sell it, or maybe spin it out or do something else, and a third alternative with a situation like that is to hold and try to improve. And our sense has been that there is a much more significant value-creation opportunity by continuing to manage the business as best we can, trying to take as much share as possible. And that over the longer term, given the investment we've got, the scale we've got, the capabilities we've got, we think that will generate a more significant return for shareholders over the long run, and one that we think will be very attractive. And obviously, we're enduring some short-term pain to get there, and we continue to manage that as aggressively as we possibly can. But our feeling is that we still have a relatively unique capability, that from a marketplace standpoint, brings a lot of differentiation. And we're continuing to do everything we can to improve that business. But certainly believe that continuing to manage it, continuing to hold it over the long term makes a lot of sense from a shareholder perspective and gives us a nice value-creation opportunity going forward.
Christopher Wiggins - Oppenheimer & Co. Inc.: Okay. Great. And could you speak directionally on the promotional activity across the company this quarter versus last quarter and how you expect that to trend going forward?
Timothy Wadhams: Yes. Just promotional activity right now for us is probably a little bit higher than typical, and that would be -- if you think about it from a Cabinet perspective, that would relate to cabs at the big-box category, where we have been very active in terms of promotion. We had a promotion that initiated in early March that winds up later this week. So that's been a timing issue, if you will. We typically have a couple of promotional endeavors there annually. So that happens to be more of a timing kind of issue. In terms of Plumbing, we do have some new product launches. We talked about the application of the Touch2O Technology to lav faucets for the bathroom. We're launching product. We've got window product that we've launched. We've launched the R.E.D. line at Arrow in Other Specialty. So those will be a couple of areas where promotional activities have kicked in. We've recently, in the Paint category, again seasonally, we've got some things that have kicked in. So I would say that if we’re thinking about where we are right now, we're probably with new product launches, which include Windows, as well as the R.E.D. line and Other Specialty, with what we're doing in the launch, the Pro-X program and seasonally, there's probably a little bit more activity now. I wouldn't call it necessarily extraordinary but again, I think that you'll see us continue to promote. I don't anticipate this year will be an unusual year compared to prior years, and those things tend to go up and down a little bit based on the facts and circumstances that you're dealing with. But I don't know, Donnie, if there's anything you want to add to that.
Donald Demarie: I would say, Tim, outside of Cabinets, to me, it feels about the same. Cabinets has been a market that has been really driven by heavy promotion for some period of time. So, really, if you're looking at '11 versus '10, we certainly are being a little bit more aggressive on the Cabinet side. Our competitors have been very aggressive, really, through the past 2 years on the promotional side. So outside of that, the rest of the segments, really, pretty much normal activity related to new product launches.
Christopher Wiggins - Oppenheimer & Co. Inc.: All right. That's very helpful. Thank you. And last question if I could, and I realize, obviously, it's early in the year. But with your outlooks kind of tempered a bit, could you just provide an update on your comfort level with your debt covenants and particularly, I guess, the interest coverage, which I think notches up a little bit in the fourth quarter?
John Sznewajs: Yes, Chris. Our interest coverage covenant, we don't think should be an issue despite the fact that we have, to use your term, we have a tempered outlook. We've looked at it pretty closely and based on our internal forecast for our earnings level, we feel pretty comfortable with where we're at on both covenants throughout the balance of this year.
Christopher Wiggins - Oppenheimer & Co. Inc.: Great. Thank you very much.
Operator: Our next question is Michael Rehaut with JPMorgan.
William Wong: This is actually Will Wong, on for Mike. I just had a quick question about the Cabinets in terms of adding more dealers, you guys said you added over 300 dealers -- or 300 dealers have added a Masco brand since April 2010, and I know you guys spoke before about some of the additional revenue impact in a couple of years, like, maybe 2 or 3 years, but what do you see in terms of additional revenue impact just for the next quarter or 2, or just for the full year of 2011?
Timothy Wadhams: We would say that the opportunity, Will, is we think somewhere between $50 million and $60 million. And what we mean by that is that if these dealers were to have the same level of activity that they had in the past year, that's what we would equate that opportunity to. That doesn't necessarily mean that, that will be the top line impact this year but on an annual basis, that's what we believe the opportunity is.
William Wong: Okay, fair enough. And just 1 more question too about rationalization charges. You talked about $65 million of rationalization charges for the full year, and it was front-loaded with $32 million this quarter. But just given the current economic environment, if things go a little bit -- or if things don't get better as planned, do you expect any more rationalization charges on top of that $65 million?
Timothy Wadhams: At this point, Will, I would say it's really too early to speculate on that. Obviously, if things deteriorate, the outlook tends to be kind of gloomy going forward into 2012. There are certainly -- we're constantly looking at all of our -- across the enterprise, at the cost structure. We've got process improvements. We've got productivity initiatives, supply chain initiatives, a lot of different things going on. At this point, don't necessarily see a big item that would generate a restructuring charge that would be of a significant magnitude. We talked about the West Jordan Cabinet facility, late last year, early first quarter. That was a pretty big knot in terms of a charge. But at this point, I wouldn't necessarily see anything but again, I wouldn't rule that out. There could be opportunities for us to do some things to enhance the cost structure, whether they might be a combination of a couple of businesses, or whatever that we haven't thought of at this point that may come up down the road. So I wouldn't rule anything out. But at this time, I think the $65 million is a pretty good estimate for this year.
William Wong: Okay. Thank you, guys.
Operator: And we'll go next to Ivan Marcuse with Northcoast Research.
Ivan Marcuse - Northcoast Research: Thank you for taking my question. My first question is on the Plumbing, going back to Delta, is there at 1 point, is there any plans to expand the product, where you have to add capacity to grow it internationally, or is it something where your existing capacity should suffice for now, and that you'll just ship from the existing plants?
Timothy Wadhams: Yes, I don't think that we'd be looking at any kind of an expansion that would require any brick-and-mortar, Ivan, at this point. We should be able to either source and/or manufacture what we're thinking about and ship at this point.
Ivan Marcuse - Northcoast Research: Okay, and then moving over to the Specialty real quick and the costs, were those costs that you incurred this year or this quarter, will that continue to impact the second quarter, or does that sort of the expansion go overall in the first quarter, and maybe you shouldn't see those costs again in the second or third quarter?
Timothy Wadhams: I would guess, Ivan, there's probably going to be a little bit more cost. I mean, as Donnie mentioned, we're adding some dealers and typically, there's an on-boarding process that goes with that. You may have some displays and some other things that you have to set. So I would guess that there'll be some costs going forward over the next couple of quarters.
Ivan Marcuse - Northcoast Research: And then real quick on WellHome, is that continuing to be expanded, or is that sort of the brakes have been put on, and what kind of costs did that incur during this first quarter?
Timothy Wadhams: We had a quarter that was comparable to last year's first quarter. We were -- that cost us about $4 million in the quarter and again, that was not incremental. That's consistent with last year's first quarter. And no, we are not expanding that business at this point in time. I think we have 17 locations. And as we mentioned, we brought those up last year, I think, probably through about the second quarter, if my memory is correct, and have not done any further expansion at this point in time.
Ivan Marcuse - Northcoast Research: Is there any expectation that you will, or is it just sort of a...
Timothy Wadhams: Too early to tell at this point, Ivan, and again, I would say that that's probably less likely than more likely.
Ivan Marcuse - Northcoast Research: And then my last question was in Europe with the particleboard, how much did that cost in the quarter from a commodity standpoint? And do you expect those costs to continue throughout the year?
Timothy Wadhams: Yes, that's being running us, John, I think, what, about a $4 million a quarter for the last couple of quarters?
John Sznewajs: $4 million to $5 million a quarter.
Timothy Wadhams: Yes, negative, yes. And I would anticipate that we're probably looking at another quarter or so. The guys are working on some alternatives. But at this point, yes, it's still an issue.
Ivan Marcuse - Northcoast Research: What's sort of -- what's driving that challenge in Europe?
Timothy Wadhams: Limited supply, and I think -- was there a fire in a plant over there? Do I remember that?
John Sznewajs: Yes, there's a plant – there was some capacity was taken out over there, but to Tim's point – Ivan, just limited supply base over there.
Ivan Marcuse - Northcoast Research: Got you. Thanks again for taking my questions.
Operator: Our next question is David Goldberg with UBS.
Susan Maklari: It's actually Susan for David. Just wanted to talk a little bit in terms of your cash flow, looking forward, we’ve sort of been through the worst in terms of the demand side of things. You've gotten the balance sheet in good shape with the revolver and all those kinds of things. Any thoughts on starting to get back to maybe more share repurchases, or increasing the dividend, those kinds of things?
Timothy Wadhams: No, not at this point, Susan. As I think you're aware, we have about $800 million of a debt maturity due in August or Sept...
John Sznewajs: July.
Timothy Wadhams: July of 2012. And so from our standpoint, as we've said to investors in the past, when you have that initial -- we've retired about $50 million of what was $850 million of original issuance. And when you take that with the $300 million that we retired in March of 2010, that's $1.150 billion. What we’ve indicated to investors is that we believe that on a net basis, that we'll retire about $300 million of that $1.150 billion debt. That requires some refinancing, if you will, obviously, of the remaining portion. And that, obviously, is something that has to be developed over the course of the next year or so. Having said that, from our standpoint, continuing to be somewhat conservative from a balance sheet perspective, making sure we've got a strong cash balance in case we don't refi that debt for whatever reason, and we certainly would anticipate being successful there, I don't think that it makes sense for us to be thinking at this point about increases in the dividend or share repurchases. Obviously, as we get into the recovery, we see some expansion in terms of our business. We certainly have had a very strong history of cash flow generation. That 5-year period '03 through '07, we averaged about $1 billion free cash flow a year, and that's with $1.5 billion of CapEx, and another $300 million of investment in displays during that same 5-year period. We were able to reduce our shares outstanding by about 30%, and so just to give folks a little reminder, I guess, in terms of the capacity and capability that we have to generate cash. But I think it's probably a little bit too early in the cycle to be thinking about share repo and/or dividend increase at this point in time.
Timothy Wadhams: Okay. And then just as a follow-up, I noticed that you left your CapEx forecast for the year, about the same as that $190 million level. Given the fact that your outlook is a bit more tempered maybe, how confident are you in that? Is there more risk that maybe that comes down a little bit more or changes?
John Sznewajs: Yes, Susan, as with the CapEx forecast of $190 million, there is a little opportunity that could come down a little bit. But that said, if you take a look at our CapEx that we spent over the last couple of years, it's far below where our historical rate has been, which is about 2% of sales. And then so with that said, we are expanding a couple of our facilities. Hansgrohe overseas is expanding a couple of their facilities to meet the demand that they're facing in the emerging markets. So while there might be a slight opportunity for that number to come down, I wouldn't say it's going to be dramatic.
Susan Maklari: Okay. Thanks.
Operator: Our final question comes from Dennis McGill with Zelman & Associates.
Dennis McGill: Thanks for squeezing me in. First question just had to do with the overall revenue trends. You guys talked about March being a flattish cap on a core basis, and we had to bill a ton [ph] of tax credit last year, and we had good Retail trends last March as well, so I would take that to be pretty favorable, but then you kind of talked about just being conservative from some of the macro trends. But can you just maybe elaborate on that? Maybe talk about how April looks as well, realizing that tough comp continues into this month?
Timothy Wadhams: Yes, to your point, Dennis, we did have a very strong March and April last year. We started out, I think, January, February of 2010 were down slightly, and we were up, I believe, just a little bit in excess of 7% in both March and April of last year. And as we indicated this year, our February and March results were -- if you exclude Cabinet products that we're exiting, were basically flat with last year. So obviously, a pretty nice trend. Unfortunately, going into April, based on what we know right now, it looks like April sales will be off, and I'm going to guess, probably mid-single digits, at least, the way things look right now. And again, we've had some -- we don't like to talk about weather, but a lot of people have been talking about weather. Weather's been horrible in most areas, and I think that's probably had some impact, although it was pretty tough in March as well. So based on what we know right now, April looks like it's going to come in probably mid-single digit, down from last year, strong last year in April.
Dennis McGill: Right. Okay. That's helpful. Second question, this is maybe a little bit long, but all these things are related. When we think about some of the offsets to the strength that you're seeing in some of your core brands, and then I focus on the 3 segments, can you just help us with quantifying the lost volume from Wal-Mart business, the trends that you're seeing from cabinet dealers, existing cabinet dealers as to whether they’re expanding their relationship with you, or if you're seeing any turnover among existing dealers that might offset the new dealers? And then within the Plumbing business, you talked about mid-teens growth within Delta and Hansgrohe. But I think that would imply the rest of the business is down somewhere in the mid-single digit-type range. So can you help us how we should think about some of those offsets that might mitigate the strength that you're seeing with new products or other brands?
Timothy Wadhams: Yes, I think on the Wal-Mart question, Dennis, my sense is they prefer that we not talk about the amount of business. As I did mention, relative to Wal-Mart, we had both some builders' hardware, as well as Paint declines in the first quarter. And as I mentioned, if we excluded the implications to Paint, we would have been up a little bit in terms of Paint. But our sense is they prefer that we not quantify that Paint program. In terms of cab dealers, we did mention that we have been able to add 25 dealers, and we have been able to add a Masco brand at almost 350 dealers. So obviously, some of those are existing. And our sense is that we have not lost any dealers. So I think that was part of your question. Now we had a little bit of static on the line, and so I think I'm reading into it a little bit. So we haven't lost any dealers, and I think I mentioned that our estimate of what we've been able to impact from a added-brand standpoint equates to, on an annual basis, and again, not necessarily going to affect 2010 top line, but about $55 million in terms of sales. And your question, your last question was on Plumbing, with Delta and Hansgrohe up low to mid-teens, does that suggest that the remaining Plumbing business is down? And I would say that's not necessarily the case. We continue to do well with hot tubs, which obviously continues to be a surprise to us, but I think is really reflective of a very strong market position, an excellent job of bringing out an opening price point product, and just a very well-run business. And the fact that we've seen some guys go out of business, if you will, in terms of competitors. So I would say that's been a bright spot as well. Most of the rest of the businesses, we do some supply things and some valves and that type of thing. I would say we're modestly better. Probably, the only area where we saw any significant decline would have been in Canada in the Plumbing segment. We were down in Canada. We enjoyed a really, really strong 2010 in Canada as we mentioned last year. So we saw a little bit of a falloff there and again, their economy is slowing down a bit. So from that standpoint, I think that certainly is explainable. But for the most part, I think we feel like we're holding our own from a share standpoint in Plumbing. And I can't tell you of any -- off the top of my head, any category that we're concerned about from a margin or a share perspective. So we feel pretty good about what's going on across that entire segment.
Dennis McGill: And I'm sorry for the static, kind of cut my side.
Timothy Wadhams: It's okay.
Dennis McGill: But I was referring to -- are you seeing any revenue per dealer changes? Are you seeing existing dealers maintain the pace of the market as you run through the integration?
Timothy Wadhams: I would say that absent the comments we've made in the past about any issues around the common architecture program, I think that our dealers are pretty much holding their own based on what we understand, yes, just in terms of trends.
Dennis McGill: Okay. Thanks, again, guys.
Timothy Wadhams: Okay, thank you very much, and I thank all of you for your participation today. We appreciate it. Thank you.
Operator: And that does conclude today's conference. Thank you for your participation.